Operator: Good morning. Today is Wednesday, February 11, 2026. Welcome to the Toromont Industries Limited 2025 Fourth Quarter and Full Year Results Conference Call. Please be advised that this call is being recorded. [Operator Instructions] Your host for today will be Mr. John Doolittle, Executive Vice President and Chief Financial Officer. Please go ahead, Mr. Doolittle.
John Doolittle: Thank you very much, [ Ludy. ] Good morning, everyone. Thank you for joining us today to discuss Toromont's results for the fourth quarter and full year of 2025. Also on the call with me this morning is Mike McMillan, President and Chief Executive Officer. Mike and I will be referring to the presentation that is available on our website. And to start, I would like to refer our listeners to Slide 2, which contains our advisory regarding forward-looking information and statements. After our prepared remarks, we will be more than happy to answer questions. So let's get started and move to Slide 3. Over to you, Mike.
Michael Stanley McMillan: Great. Thanks very much, John. Good morning, everyone, and thanks for joining us this morning. Our team delivered solid results in the fourth quarter, closing out the year on a positive note despite persistent macroeconomic and trade uncertainty. We remain focused on long-term performance, continue to invest in our people and capabilities to support our customers and drive sustainable growth over the long-term cycle. Earnings improved over the course of the year, although full year earnings showed a modest decline due to factors such as investment in growth-related initiatives, lower net interest income and short-term noncash costs from the AVL acquisition, which John will expand upon shortly. The Equipment Group executed well with solid activity in rentals, product support and new equipment deliveries. However, activity levels still reflect the economic environment, which continues to impact end customer demand. As expected, mining deliveries were lower due to the segment's inherent variability. However, we saw good order intake in Q4. Revenue increased with the inclusion of the acquired business, along with higher rental, product support revenue and higher total equipment sales. Rental revenue rose supported by a larger fleet and product support revenue also increased due to higher parts and service volumes. Operating income was 3% higher in the fourth quarter as the higher revenue and gross profit margins were partly offset by the higher expense levels. CIMCO posted higher revenue and earnings, driven by good demand and disciplined execution in both Canada and the U.S. Growth in package revenue was supported by a stronger order backlog, while product support activity continued to improve, aided by our growing technician workforce. Operating income increased largely reflecting the higher revenue and solid execution, which more than offset higher expenses to support activity and growth. We continue to work closely with our new partners at AVL, focusing on this promising market. Production at AVL has been expanding since the date of acquisition and continues to build their healthy order backlog and new order demand. Hiring and development of production capacity continues. As noted in Q2, we acquired a facility in Charlotte, North Carolina to expand production capacity and better serve the Eastern U.S. market. This facility commenced the first phase of production during the third quarter of 2025 and will ramp up throughout 2026. Revenue for the fourth quarter and full year of 2025 were $97.7 million and $254.7 million, respectively. As part of the accounting for the acquisition, the company recognized intangible assets related to order backlog and customer relationships, both of which are amortized over time. Certain other noncash expenses are recorded as a result of the acquisition accounting related to the commitment for purchase of the remaining shares of AVL. Noncash expenses recognized for these items amounted to $33.4 million and $90.4 million, respectively, on a pretax basis for the fourth quarter and full year. Net income for AVL after consideration of amortization of intangibles recognized at acquisition was approximately negative $0.01 per share and a contribution of $0.01 per share for the fourth quarter and full year of 2025, respectively. Investment in noncash -- let's turn to Slide 4, and we'll highlight some of our key financial metrics. Investment in noncash working capital decreased 11% year-over-year, a net effect of lower inventory levels, higher accounts receivable balances and lower accounts payable balances due to equipment delivery timing. Accounts receivable increased primarily reflecting higher trailing revenues and receivables from AVL, offset by good collection activity. DSO decreased by 1 day to 39 days. Our team continues to manage receivables aging and customer credit metrics effectively. Inventory levels declined primarily due to executed deliveries against order backlog, inventory management initiatives, slightly offset by CIMCO's higher work-in-process inventory levels, which reflects the timing of project construction and product support schedules. We ended the year with ample liquidity, including $1.3 billion in cash and an additional $453 million available under our existing credit facilities. Our net debt to total capitalization ratio was negative 19%. Overall, our balance sheet is well positioned to support operations and navigate evolving economic and business conditions. We will continue to apply our operational and financial discipline as we support customer needs and evaluate future investment opportunities. We purchased and canceled 337,500 common shares for $40.1 million in the year under our NCIB program. Our purchases are intended to practice good capital hygiene and to mitigate option exercise dilution. Toromont targets a return on equity of 18% over the business cycle. ROE was below this at 16.9%, reflecting slightly lower earnings and higher shareholders' equity. Return on capital employed was 23.4%, also lower year-over-year, reflecting our increased capital investment. It is worth noting that noncash charges related to the AVL's backlog amortization, which will be effectively completed during the first half of 2026 impact these important metrics. Finally, as announced yesterday, the Board of Directors approved the increase of the quarterly dividend by $0.04 per share or 7.7% to $0.56 per share or $2.24 per share annual. Toromont has paid dividends every year since 1968, and this is the 37th consecutive year of dividend increases. We continue to be proud of this track record and our disciplined approach to capital allocation. The next dividend will be payable on April 2, 2026, to shareholders of record at the close of business March 6, 2026. John, I'll turn it back over to you for more detailed commentary on the results.
John Doolittle: Okay. Thank you, Mike. Let's turn to Slide 5 for a few additional comments. On a consolidated basis, higher revenue was generated with both the Equipment Group and CIMCO. Equipment Group revenue increased with new equipment deliveries and execution against order backlog and project schedules coupled with the revenue of the newly acquired business AVL. Rental revenue improved during the latter half of the year, although utilization levels remained lower than prior year. Product support revenue increased in both parts and service on improving customer activity and focused execution. CIMCO revenue increased on continuing strong demand for its product and services. Gross profit margins improved compared to the prior year on improved efficiency and better sales mix. Operating income was up 2% compared to last year, reflecting the higher revenue, improved gross profit margins, partially offset by the higher expense levels. Excluding the property disposition pretax capital gain of $13.7 million in Q3, operating income was relatively flat compared to prior year. Expense levels reflect continued support for key operational focus areas. Net interest income was significantly lower for the year, reflecting both higher interest expense as a result of higher borrowings as well as lower interest income earned due to lower interest rates. Bookings for the fourth quarter increased 47% compared to the fourth quarter of 2024 with higher bookings in the Equipment Group, including a significant contribution from the acquired business and strong mining activity, offset by lower bookings at CIMCO. Backlog is strong at $1.5 billion, up 46% year-over-year with an increase in the Equipment Group of 68%, while CIMCO was comparable to 2024. On a consolidated basis, revenue increased 9% in the fourth quarter with an increase in the Equipment Group of 9% due to revenue from the acquired business along with higher product support revenue and an increase of 10% at CIMCO on higher package and product support revenue in both Canada and the U.S. For the year, revenue increased 4% with the Equipment Group up 3% and CIMCO up 14% compared to 2024. Excluding the property disposition gain in the acquired business, SG&A expenses increased 10% in the quarter and 5% in the year. Higher expenses reflect the continued investment in key strategic areas. Higher DSU mark-to-market adjustments increased expenses in both periods due to the higher share price. Compensation costs were largely unchanged from the prior year as regular salary increases and higher staffing levels were largely offset by lower profit sharing accruals. Sales-related expenses increased year-over-year, reflecting continued investment in resources. All other expenses such as travel, training, occupancy and information technology costs have increased slightly on continued investment for future growth and inflationary effects. For the year, expenses increased to 12.3% of revenue compared to 11.8% last year. Operating income increased 3% in the quarter, reflecting the higher revenue, partially offset by the higher expense levels given higher activity. On a year-to-date basis, operating income increased 2% as higher revenue and improved gross profit margins were partially offset by the higher expenses. As a percentage of revenue, operating income was 13.1% on a year-to-date basis compared to 13.3% last year. Net interest income increased $1 million in the quarter due to higher interest earned on the higher excess cash balance. For the year, net interest expense increased $17 million, reflecting interest expense on higher borrowings with the new senior debentures issued in March 2025. In connection with the acquisition of AVL in early 2025, the company made a commitment to purchase the remaining 40% of the shares at various dates through 2031. Revaluation of this purchase commitment liability resulted in a $7.9 million expense for the year, and you will see that as a separate line item on our P&L. Net earnings increased 1% or $0.9 million in the quarter compared to last year and decreased 2% or $9.9 million for the year. Basic earnings per share was $1.93 in the quarter and $6.11 for the year. Turning to the Equipment Group on Slide 6. Revenue increased 9% in the quarter and 3% for the year as higher construction and power systems markets, including the acquired business, along with higher rental and product support revenue were largely offset by lower mining revenue against a strong comparable. Equipment sales, including both new and used equipment were up in both quarter and full year by 9% and 1%, respectively. New equipment sales increased 10% in the quarter and 1% for the year with decreases in mining against a strong comparable, partially offset by higher power systems markets, which include revenue of the acquired business. Used equipment sales increased 4% in the quarter, mainly on improved dispositions in the construction market and decreased 4% year-to-date in most markets, the decrease prominently led by a lower construction market, slightly offset by improved mining market activity. Looking at the market segments for the quarter. Total equipment revenue decreased 39% in mining, while Power Systems increased 131%, Construction increased 1% and material handling increased 12%. Rental revenue was up 5% in the quarter and was up 9% year-to-date. While market conditions remain somewhat challenging, revenue increased compared to the prior year, reflecting a larger fleet and improved activity levels in certain areas. Revenue improved in most areas for the quarter as follows: Heavy equipment rentals were up 15%, light equipment up 5%, material handling up 7%, partially offset by a decrease in power rentals down 11%. The RPO fleet was $92.5 million versus $97.9 million a year ago, and rental revenue was up 5% for the quarter and 40% for the year compared to the similar periods last year. Product support revenue increased 9% in the quarter and 4% year-to-date, with an increase in both parts and service. Activity was higher across most markets and regions, reflecting end-user demand and activity levels. Gross profit margins increased 10 basis points in the quarter compared to the fourth quarter of 2024 and increased 30 basis points on a full year basis. Equipment margins were up 50 basis points in the quarter, up 50 basis points for the year, reflecting market dynamics and the nature of equipment sold. Rental margins were down 10 basis points in the quarter, down 20 basis points for the year on higher recent fleet acquisitions and higher maintenance and repair costs. Product support margins decreased 30 basis points in the quarter and 10 for the year. Sales mix was favorable, up 10 basis points in the year, reflecting a higher proportion of product support revenue to total revenue. Excluding the gain on property disposition and the acquired business in 2025, selling and administrative expenses increased $11.3 million or 9% in the quarter and $21.5 million or 4% for the year. Higher expenses reflected continuing investment in key strategic areas. Higher DSU mark-to-market adjustments increased expenses in both periods. Compensation costs were higher in both periods, reflecting staffing levels and regular salary increases, more than offset by lower profit sharing accruals on the lower income. Other expenses such as training, travel and occupancy costs have increased in light of sales levels, planned investment and inflation. As a percentage of revenue, selling and administrative expenses increased to 12.1% versus 11.5% last year. Operating income increased 3% for the quarter and was relatively unchanged for the year. Excluding the property disposition gain, operating income decreased 2% for the year, reflecting the higher revenue and improved gross profit margins more than offset by the higher expenses. Acquired business continues to increase production, however, did not contribute meaningfully to operating income given expenses arising from purchase price accounting, including items such as amortization of intangibles and the setup of a new U.S. facility. Bookings increased 71% in the quarter, led by strong order intake in Power Systems and the mining sector. For the quarter, construction markets were up 9%, reflecting more normalized customer demand. Power Systems, which includes the acquired business saw strong order activity, up 195% on good demand for our products. Mining markets are lumpy or cyclical due to the nature of the business and improved up 324% on good orders in the quarter. Material handling orders were down 14% versus a strong comparable last year. Backlog sits at $1.2 billion, remains at healthy levels. Backlog includes approximately $428 million at AVL. And excluding this backlog -- excluding this, the backlog was up 7% compared to the same time last year, reflecting good new order intake throughout the year. Approximately 90% of the backlog is expected to be delivered over the next 12 months. But of course, this is subject to timing differences depending upon vendor supply, customer activity and delivery schedules. When you consider the impact of AVL on our results, please keep in mind that the bulk of the purchase price amortization is related to acquired backlog. A substantial portion of this backlog was shipped in 2025 with a small remainder expected to be delivered in the first quarter of 2026. And you refer to Note 11 in the financial statements for a breakout of this. As well, it is important to recognize that we own 60% of the business and any dividends paid to minority shareholders will be treated as expenses when paid. We expect dividends to begin in 2026 with amounts reflective of both trailing earnings, excluding the impact of amortization and the cash flow needs of a rapidly expanding business. Turning now to CIMCO on Slide 7. Revenue was up 10% in the quarter and 14% for the year. Package revenue increased 4% in the quarter and 18% year-to-date, led by strong recreational market activity, reflecting good execution on equipment delivery and progress on customer schedules, slightly offset by a decrease in the industrial market. Recreational activity increased 51% in the year with higher revenue in both Canada and the U.S. in both periods. Industrial market revenue decreased 3% in the year with lower activity in Canada against a strong comparable and higher activity in the U.S. in both periods. Product support revenue increased 17% in the quarter and 9% on a year-to-date basis with higher market activity in Canada in both periods. Activity in the U.S. was down 11% in the quarter and down 1% year-to-date with a stronger start to the year. Activity levels continue to improve on good customer demand and the increased technician base. Gross margins were unchanged in the quarter and increased 10 basis points in the year versus similar periods last year. Package margins reflect good execution in the nature of the projects in process for both periods, driving a 20 basis point increase for the quarter and 50 basis point increase for the year. Product support margins decreased 50 basis points in the quarter and 20 basis points for the year. Improving execution and efficiency continues to be a focus. A favorable sales mix with a higher proportion of product support revenue to total increased margin 30 basis points in the quarter and an unfavorable sales mix of 20 basis points reduced gross profit for the year. Selling and administrative expenses increased $2 million or 12% in the quarter and $7 million or 10% for the year. Compensation costs increased, reflecting staffing levels, annual salary increases and higher profit sharing accruals on the higher earnings. Other expenditures such as travel and training expenses increased to support activity and staffing levels. As a percentage of revenue, selling and administrative expenses improved to 14.3% in 2025 versus 14.8% in 2024. Operating income was up $2 million or 9% for the quarter and $11 million or 20% for the year, largely reflecting the higher revenue and improved gross margins, partially offset by higher expense levels supporting growth. Operating income as a percentage of revenue increased 60 basis points to 12.2% on a year-to-date basis compared to the similar period last year. Bookings decreased 45% or $56 million in the quarter and were 11% lower against a strong comparator. For the year, industrial orders were down 9% and recreational orders down 14%. Generally, activity is continuing with good strategic capital investment levels. However, the current economic uncertainty has delayed some customer buying decisions. Backlog of $343 million was relatively unchanged versus last year as higher backlog in the industrial markets up 2% were offset by lower recreational markets down 2%. Approximately 75% of this backlog is expected to be realized over the next 12 months. However, again, this is subject to construction schedules. And with that, we can move to Slide 8. turn again to Mike to highlight some key takeaways as we look forward to the year ahead.
Michael Stanley McMillan: Great. Thanks again, John. As we look forward to the first quarter of 2026, our focus remains firmly on executing our strategic priorities, namely maintaining safe and efficient operations, delivering exceptional customer service and applying disciplined financial and operational rigor to support long-term growth. With that in mind, we continue to monitor several external factors that may influence the business environment. Trade negotiations between U.S. and Canada remain fluid. We have implemented a proactive mitigation plan and continue to refine such plans as the situation evolves in order to manage potential impacts. Foreign exchange volatility, particularly fluctuations in the Canadian dollar is being actively managed primarily through our hedging program. While this helps to protect our bottom line, broader economic effects may still be present. Macroeconomic conditions, including inflation and interest rates are being closely tracked. Our backlog of $1.5 billion in the equipment supply chain is well positioned to support our customer requirements as well. The AVL acquisition continues to track to our production plan. Though near-term earnings contributions remain modest due to noncash purchase accounting adjustments and the dividends, as John noted earlier. We continue to invest in our technician workforce, a key enabler of our aftermarket growth strategy. This critical initiative strengthens our aftermarket services capability and enhances the value we deliver to our customers through our product and service offerings. From both an operational and financial standpoint, we have a focused operating model, talented leadership team, disciplined culture and ample liquidity, which helps equip us to navigate near-term uncertainty while pursuing strategic growth opportunities. Our long-term commitment to shareholder value remains anchored in cost discipline, strategic investment and operational excellence. We thank our team for their continued dedication and our stakeholders for their trust and support. That concludes our prepared remarks. We'd now be pleased to take your questions. Ludy, back over to you, please, to set up the first call.
Operator: [Operator Instructions] With that, our first question comes from the line of Devin Dodge with BMO Capital Markets.
Devin Dodge: I wanted to start with a question on -- I guess it's on the AVL business. But look, we've seen CAD is increasingly seeing opportunities for really large data centers. That's both for prime and backup power. I mean they saw multiple orders for gensets for sites more than a gigawatt of power. Just are these opportunities for AVL? Or are these gensets likely to be deployed in larger enclosure buildings versus the typical AVL offering?
Michael Stanley McMillan: Yes. Thanks, Devin, for the question. Let me just start with that, and John can provide some color as well. I would say, at this stage, our focus is really on the standby power and ramping up production to support the data centers in motion today. Not to say that we aren't looking at the gas. Like I think from your perspective, what you're talking about is the shortage in energy in the segment, right? And so as we've heard, certainly, there's a shortage of energy to support data centers, and they're looking at different opportunities to bridge until they get into the grid and also just operating as a prime power solution while they continue to build out and address the demand in the data center side of things. And so I would say, broadly speaking, we certainly can provide enclosures. Some of these power plants, certainly, the gas solutions are larger, a little heavier, but many of them do require a similar type enclosure and so forth. And so at this stage, I would just say it's a bit early in that regard. That's something that we'll probably evaluate as we get further down the path of executing our plan and ramping up production in Charlotte.
Devin Dodge: Okay. Makes sense. And then maybe just sticking with AVL. I was just wondering if you could provide an update on the ramp-up at the Charlotte facility and how quickly that could get to full production. And just wondering if there's any plans to expand the AVL network beyond Charlotte, either at existing facilities or just expanding the overall network?
John Doolittle: Yes. Just on Charlotte, Devin, I think Mike called that out in his remarks. We're making good progress in Charlotte. The building is basically kitted out. We're hiring folks. There is some limited production going on right now, and we would expect that to continue to grow throughout 2026. And I commented last quarter, I think, on margins following that growth in production. Mike, did you want to talk about.
Michael Stanley McMillan: Yes. Just let me -- your second part of your question there, Devin, on further expansion. I mean I think the first thing we want to do is ramp up production, both Hamilton and here. Hamilton is at a pretty good state at the moment. I think there is also some opportunity when you think about operating efficiently in, say, the Charlotte facility, shift scheduling, adding a little bit more assembly and manufacturing space, that type of thing. So we'll evaluate that first before we would go further with another opportunity in another location.
Operator: And the next question comes from the line of Maxim Sytchev with National Bank Financial.
Maxim Sytchev: If we switch gears, if we can, to the kind of the core Equipment group, can you maybe talk about the inflection in the backlog year-on-year? And what's driving that specifically in terms of end markets, et cetera?
Michael Stanley McMillan: Yes. Just so I'm clear, Max, just you're focused on more traditional equipment group as far as the backlog?
Maxim Sytchev: Yes. Yes, please.
Michael Stanley McMillan: Yes. I think as we've talked about probably over the course of the last year or so, availability of equipment has improved quite significantly in the industry and bundle that with a little bit softer demand and activity levels in Canada with some of the other factors at play. I would just say that what we are seeing, again, strong levels of bookings, strong -- our backlog continues to be at a relatively high level, even if you back out the power and energy side of things relative to -- we always look back at, say, 2019 and where we would normally be with strong availability. And so I'd say it's an interesting dynamic. I'd say we're still trying to help our customers with solutions, whether it's new equipment, which has strong availability, but also as we look at inflationary effects over the last several years, the right solutions for them in terms of used rebuilds, rentals and so forth. And so you tend to see that. But right now, I would say, given the demand strength, customers do have the opportunity to make their purchase decisions in line with what they're seeing in the project pipeline and some of the infrastructure we anticipate will materialize over time. So it's a little more patient than it has been, say, for the last little while.
Maxim Sytchev: Okay. No, that's fair enough. And then in terms of the margins on AVL, I know that John sort of alluded to this in the previous question, but how much of a drag was Charlotte ramp-up in the margin performance for AVL in Q4 from your perspective?
John Doolittle: It wasn't a significant drag in the fourth quarter, Max. And all I was saying is we -- the expectation as we build out production is that, of course, costs kind of upfront before you get revenues. And so we would expect margins to build as revenue grows in Charlotte over the course of the year. But it wasn't much of a drag on the Q4 performance.
Operator: And your next question comes from the line of Cherilyn Radbourne with TD Cowen.
Cherilyn Radbourne: I wanted to key off a comment in regards to the bookings in the Equipment Group in the fourth quarter. You mentioned that construction orders were up 9%, reflecting more normalized customer demand. Can you sort of elaborate on that comment? Is that confidence driven, project driven? Any detail you can give there would be helpful.
Michael Stanley McMillan: Yes. I think, Cherilyn, it's a number of factors when you break it down. I think it's, like I mentioned earlier, availability and so forth. I think also, it's not unusual for us to see in Q4, depending on how customers -- their financial positions are and what they see for year-end buys and they can time it. This year, we certainly have better availability, so they can -- you'll see the booking activity was pretty strong in Q4, for example, right? And our execution on new sales was strong in the same period. And so there's certainly an element of that. I'd say I'd be careful on confidence in the market at the moment. I mean we are seeing a little bit of activity. But we're -- I think it's -- we're still waiting to see improved activity levels in infrastructure, sewer water, all the things that tend to drive a lot of the initial construction activity. And I think it really relates to the economic uncertainty in the marketplace and the work environment, right? So...
Cherilyn Radbourne: Okay. That's helpful. And in terms of the narrative around the potential for nation building infrastructure projects, how are you tracking that internally? And what are your thoughts at this point as to when that could start to positively impact the business?
Michael Stanley McMillan: Yes, it's a great question. I think a couple of things there that we certainly are keeping an eye on. Like I would say the tailwinds or the backdrop and you hear about it almost on a daily basis on the news is resource development. We often hear about Northern Ontario development opportunities. I think, of course, commodity pricing and everything is in a good position, including even iron ore and things like that at the moment. And so I'd say that definitely provides us with cautiously optimistic long-term outlook. I would say, in terms of timing, that's the big question. Like we're watching carefully to see where mine developments are, but also infrastructure when you think of roadworks. And there's certainly like in our core markets like Ontario, you often hear about some of the road building and other things that are planned. I would say yet to be seen, though, in terms of material movement and some initial stage stuff is happening. But it'd be difficult to predict where we're going to be in '26. I think as we look longer term, '27 forward, I would say we'd be cautiously optimistic that we're going to start to see some good development in both of those areas. John, anything you want to?
John Doolittle: It's good Mike.
Operator: And your next question comes from the line of Sabahat Khan with RBC Capital Markets.
Arthur Nagorny: This is Arthur on for Sabahat. I want to start with the Equipment Group bookings. I know you called out mining orders as being reflective of normal lumpiness. But can you just give us a little more color on where the orders are coming from? And would you expect an increase in order activity over the coming quarters given where commodity prices are? And as a follow-up, can you also dig into the Power Systems growth between both AVL and the rest of the Equipment Group business?
Michael Stanley McMillan: Thanks Arthur. Maybe just to start out. On the bookings in the mining side, I think, as John mentioned, it is -- and I think I commented, it is lumpy here. It is a little bit more cyclical. And so we tend to see, as you know, lower frequency of orders, but usually larger in nature, unless it's replacements or supplementary ancillary equipment. So we are seeing -- I think given the commodity backdrop, we are seeing some good interest in mine development, and that would be in the gold sector, of course, but also in areas of nickel and other base metals and things like that. And so our goal, again, is to -- it's a very competitive space. There are some very capable players in the equipment space. Our goal is to compete and win and earn our way into those projects. I mean we certainly are prepared to invest in terms of infrastructure, technician workforce and support throughout the cycle for our customers. And so that's one of the areas we try to add value, if you will. And so it's very difficult to predict the order flow, but I think we do see a reasonable pipeline of opportunities over the next several years, and these are long-duration projects, right? So just to give you a bit of color, I mean, it's hard to pin that stuff down, but I think the Canadian marketplace commodity backdrop provides good investment, which generally results in mine development and opportunity for our team to execute. Yes. You mentioned -- sorry, Arthur, you mentioned also the Power Systems side and that sort of thing. I think certainly, you get some good color out of the AVL disclosure that John and I provide in the order backlog and so forth to give you a sense of where that's headed. Maybe John can talk a little bit about the timing on that backlog and so forth. But I'd say it's been driven by some of the Eastern U.S. market activity out of the AVL side. The Power and Energy Group here in Canada is doing a nice job in the number of projects. But I'd say the data center forecast in Canada is certainly lagging the U.S. activity. Like I think there is certainly some interest starting to develop. But I would say it's still early days here in the Canadian marketplace for that particular activity.
John Doolittle: Yes. I'd just say on AVL, the backlog is about -- just over $425 million. And as I said, we would expect that to roll out over the course of 2025. And that accounts for the largest chunk of the growth in the Power System order bookings.
Arthur Nagorny: Got it. Maybe just a follow-up on that AVL backlog. So it sounds like duration is kind of normal course. But the growth in the backlog, is that largely reflective of the ramp-up in the Charlotte facility? Or is a lot of that also coming from the Hamilton facility as well?
John Doolittle: It's a combination of both. It's a combination of both, just strong orders on both. And we decide based on capacity, where we're going to fulfill those orders. So they kind of come in centrally and then we decide where to place them.
Arthur Nagorny: Got it. And at this point in time, is that, I guess, backlog and kind of the revenue that you're seeing, is that largely reflective of kind of volume across the business? Or is there some element of pricing in there as well that we should be keeping in mind?
John Doolittle: That's largely reflective of volume at this point.
Arthur Nagorny: And then last one for me on the revaluation of the commitment liability. Can you just remind us which KPIs this might be based on? And is there anything to keep in mind as it relates to potential future revaluations?
John Doolittle: Yes. I mean as we talked about when we acquired AVL, we acquired 60% of the business and then the other 40% we're going to acquire over time through 2031. And that is -- that 40% is structured so that to the extent the business does better than we anticipated in the business case, then there'll be a higher multiple on a payout. And so the business is doing very well. So we took a look at the liability at the end of the year and revalue it upwards from $42 million to $50 million. And that's why that $7 million expense was booked in 2025, and you'll see that as a separate line item in the P&L. And we'll evaluate that on a regular basis as we move forward, track how the business is doing and estimate that liability, and you'll see that recognized, and we'll talk about it on the calls.
Operator: And your next question comes from the line of Krista Friesen with CIBC.
Krista Friesen: I was just wondering if you could speak to kind of where you're at in the mining cycle right now as we think about product support coming in relative to the orders delivered over the last couple of years and also acknowledging that I believe you called out decent bookings in the quarter for your mining business, too.
Michael Stanley McMillan: Yes. I would say we're sort of midway, like you mentioned, some of the larger fleets we've talked about over the last several quarters. And it does take 2 to 3 years to really get the equipment and the hours and utilization up to a point where we do more than just preventative maintenance and routine things. And so I'd say we're about, let's say, on average, halfway through that type of cycle before we start to see component replacement opportunities and so forth. The activity levels in the mining sector are pretty strong and the hours continue to build, but it does take some time. I think -- and again, as we mentioned earlier, when you look at the order book and how we're seeing things develop over time, we continue to be cautiously optimistic, but we're very mindful of the fact that every deal is unique, and we have to earn our way into those opportunities. I think the one area I would I would notice, as we look at the sector over the long cycle, one of the areas we're also looking at is similar to one of our customers today is running autonomous solutions. And I think when it comes to technology and the evaluation of those offers, I think that's also another factor that may play into opportunities down the road. But again, these are -- these types of projects take time and the customer needs to get comfortable with the technology adoption and the benefits.
Krista Friesen: That's great color. And maybe just on the AVL acquisition, obviously, been quite successful and a lot of growth there. Are there other sort of adjacent areas like this that you're looking at in terms of M&A kind of in the near to medium term here?
Michael Stanley McMillan: I would say at this stage, Krista, we -- one of the reasons we really like the AVL acquisition, as we often talk about when it comes to M&A is complementary scope, if you will, that really fits well with, like, say, the engine business, the Power and Energy business. And so from that perspective, I would say we're very mindful of the space, the level of investment required, the capital going into the market, but also the supply chain. So when we look at that, I would say anything that we'd look at today would be around traditional parts of our business that would be complementary and broaden the service and product offer to our customer. I think from an AVL perspective, again, it's helping to support the execution and delivery of the units that we need to provide and the supply chain. There's -- within these units, we have a number of components like plenums, exhaust SERs for scrubbing emissions and paneling and switchgear and so forth, which a lot of that we can do ourselves today through our Power and Energy group. And so that's where our focus would be, would be just to make sure that whatever we're looking at is a complementary part of the business that we have a much better understanding.
Operator: And your next question comes from the line of Steve Hansen with Raymond James.
Steven Hansen: John, I think you referenced the new dividend structure for AVL that's going to be coming up here. How do we think about modeling that? I understand your ownership stake, but I think you referenced it would be based on trailing earnings. Is there a catch-up to be had in the front quarters as we think about the trailing '25? Or how should we think about that sort of cadence of expense?
John Doolittle: Yes. So Steve, the way I laid it out was that there will be dividends paid in 2026. I would expect it to be a dividend paid in the first quarter. And the way you should think about that is there are a couple of components. One is 2025 earnings before amortization as one input. Then the other input is, of course, we operate businesses on a call it stand-alone basis. And so AVL is in growth mode. And there are certain cash requirements that accompany that growth mode. And so we've got to take into account historical earnings plus cash needs going forward, and those things will factor into any dividend that we pay on AVL in the first quarter and as we move forward.
Steven Hansen: Okay. But it will be a quarterly regular rated dividend, I understand.
John Doolittle: TBD, we're looking at 2025 results right now and focusing on that, and then we'll be evaluating it as we move through 2026.
Steven Hansen: Okay. Helpful. Just switching over to the core Equipment Group. I know, Mike, you referenced good availability out there in the market, but the margins do look to be continuing to soften here on, again, the ex-AVL business. Is that a pattern that we can expect to start stabilizing here as we look at sort of that core underlying? Or how do you think about the margin profile going forward?
Michael Stanley McMillan: Yes. I think, Steve, I think a couple of things to think about. We always talk about the factors affecting our margin. I think availability has been pretty strong over the last several quarters. And certainly, that plays in. But I think an important part for us is how you think about mix. And so when you think of, say, John's comments, we talked a little bit about decent new equipment deliveries. However, we didn't see a lot of mining deliveries. And again, usually mining is higher value, tighter margin just given the nature of the product. And so even within the New Equipment segment, I would say, think about the mix and what we're talking about there, used was not bad in the quarter. Like if you look at our used revenues was up 4% versus last year, I think, roughly. And so that can give us a little bit to consider there and rental was improved, up 5%. And so those things, when you think of the overall balance and then the margins within those segments, that's really the right way to think about how we go forward. Availability, I think, is strong. And so you would expect the market to be competitive in terms of pricing and value. And so we don't -- I think the wildcard there would be continued tension between the trade dynamics here that we're talking about and if there are more tariffs that come into play, and that can affect commodities like steel and aluminum pricing and things like that. And that's one thing that we're very cognizant of and monitoring carefully.
Steven Hansen: Okay. Great. And just the last one for me. I know it's a bit nichey, but just is there anything to think about with the weather pattern we're expecting here, higher rental demand on snow removal? Is there anything that really plays from this sort of atypical weather event we're seeing through first quarter here?
Michael Stanley McMillan: Yes, it's a good question. So we have just come through a bit of a blast here in January. I would generally step back and say, look, we live in Canada, and we deal with the weather conditions, and we've had warm winters and cooler winters. And definitely, we see more snow removal activity, maybe a little bit more on the heating and things like that. But there's also a point where depending on temperature, we're not -- our customers are not using heaters, for example, the soaking ground when it's very cold, but they are using it in the intermediate sort of temperatures. And so all that to say, there's a subtle effect there, but I wouldn't say it's overly material. But certainly, you see the activity out there in the snow banks around our market anyway out here in Eastern Canada, which has been positive for us.
Operator: And your next question comes from the line of Yuri Lynk with Canaccord Genuity.
Yuri Lynk: A question for John. I just want to make sure I'm modeling the noncash AVL expenses going forward, I'm referring to the $33 million in the quarter. You mentioned that the amortization portion of that to the backlog is pretty much will be exhausted in Q1. But just so I'm clear, that doesn't mean that, that $33 million goes to zero, right? There's another component in there related to the commitment to buy the remaining shares of AVL that's going to continue? And if so, can you help us kind of quantify what that might be?
John Doolittle: Yes. A couple of things to think about there. So if you go to Page 33 of the financials, you'll see the way the intangibles were broken out for the AVL acquisition, and most of it was allocated to customer order backlog. So we bought backlog in January of 2025. And most of that has been sold has rolled through revenue. So you look at it, there was $76 million that was acquired, $75 million of that was amortized through the year. So there's a small piece that's left to be amortized in Q1. Customer relationships is the other piece of intangibles, and that amortizes over 5 years. So the first year was taken in 2025, and the rest of it will be amortized over the next 4 years. And then your last part of the question is related to the 40% that we don't own. and we have an obligation to buy those shares over the course of the next number of years. And so we set up a liability when we bought that 40% based on everything we knew at the time. And we've got to have a look at that on a regular basis to say, are we tracking to that business plan? Is AVL doing better than we thought? And because it's based on an earnings multiple, it could go up and it could go down. So we have to revalue it. In this case, it went up a little bit, and that's why we booked the expense. So we'll track that, like I said, going forward. If you see any changes in that valuation number, we'll explain it.
Michael Stanley McMillan: Yes. And just on that purchase piece, too, Yuri, I think one of the things we mentioned in prior calls is we're looking to buy out that 40%. We actually have a schedule, like John says, the last 10% so it's in 10% blocks year-over-year and the last piece is expected to be purchased out in early 2031.
John Doolittle: Does that help, Yuri?
Yuri Lynk: Yes, that's helpful.
Operator: Thank you. And I'm showing no further questions at this time. I would like to turn it back to Mr. John Doolittle for closing remarks.
John Doolittle: Okay, Ludy. Thanks a lot for hosting us today. Thank you, everyone, for joining for your questions. That concludes our call. Please be safe. Have a great day, everybody. Thank you.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.